Operator: Welcome to Gevo’s Fourth Quarter 2015 Conference Call. At this time all participants are in a listen-only mode. There will be a question-and-answer session to follow. Please be advised this call is being taped at the company’s request. At this time I would like to introduce your host for today’s call, Geoff Williams, Gevo’s General Counsel and Secretary. Please go ahead, Mr. Williams.
Geoff Williams: Good afternoon and thank you for joining Gevo’s fourth quarter 2015 earnings conference call. I would like to start by introducing today’s participants from the company. We have with us today Pat Gruber, Gevo’s Chief Executive Officer; and Mike Willis, Gevo’s Chief Financial Officer. Earlier today we issued a press release which outlines the topics that we plan to discuss today. A copy of this press release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and we are providing a simultaneous webcast of this call to the public. A replay of today’s call will be unavailable on Gevo’s website. On the call today you will hear discussions of non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed earlier today and which is posted on our website. We will also make certain forward-looking statements about events and circumstances that have not yet occurred including but not limited to projections about Gevo’s operating activities for the remainder of 2016 and beyond. These forward-looking statements are based on management’s current beliefs, expectations and assumptions and are subject to significant risks and uncertainties including those disclosed in Gevo’s most recent annual report on Form 10-K as amended which was filed with the SEC on March 30, 2015 and in subsequent reports and other filings made with the SEC by Gevo. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today’s date and Gevo disclaims any obligation to update information contained in these forward-looking statements whether as a result of new information, future events or otherwise. Please refer to Gevo’s SEC filings for a detailed discussion of the relevant risks and uncertainties. On today’s call Pat will begin with a review of Gevo’s recent business developments. Mike will then review Gevo’s financial results for the fourth quarter of 2015 and the year ended December 31, 2015. Following the presentation, we will open up the call for questions. I will now turn the call over to Pat.
Pat Gruber: Thank you, Jeff. Before I get into an overall update of the business, I wanted to touch base on a couple of announcements we have made over the last few days. First, we announced on Monday that we are very pleased that the ballot was passed by the two ASTM committees which is expected to clear the way for Gevo’s jet fuel to be flown on commercial flights. And as we have discussed previously, Alaska Airlines will be our launch partner with the first commercial test flight anticipated sometime in the next several months. This approval is a big deal. It has been in the works for five to six years and represents only the third time a bio-based jet fuel has been included in the ASTM spec. So we are hopeful that this milestone will accelerate our jet fuel partnerships with commercial aviation companies. Also we announced this morning that we priced the financing today that should yield us gross proceeds of approximately $3.5 million. Given the overall status of Gevo’s technology business, I’m delighted that we are now focusing our proceeds towards the growth oriented initiatives such as improving our isobutanol production capabilities at Luverne and investing in business development activities to ensure that we place our isobutanol and derivative products like jet fuel and isooctane with good customer partners and at attractive prices. There are many milestones that we are looking to achieve over the next couple of quarters such as hitting our production volumes and our cost targets at Luverne as well as announcing new customers and partnerships and we believe this latest financing transaction will provide us the runway to allow us to meet many of these important milestones. In terms of the specific structure of the financing, I will let Mike address that later in this call. With that said now, I would like to cover three key areas on today’s call. One, our plants in Luverne. Two, our progress in sales and marketing of isobutanol, jet fuel and isooctane, and three, our licensing program. So first off, Luverne. I am very pleased to say that our project to upgrade our isobutanol capabilities that we announced in September of last year is complete and we are back up and running and producing isobutanol. The project came in on time and budget. Now recall that this project which cost us about $5 million included adding a distillation system, a new production fermenter, and upgrading our fermentation system particularly in the seed train. We began our isobutanol fermentations a couple of weeks ago and while we are still in the learning curve phase of the operation on the isobutanol side of the plant with the new equipment, the initial results look good. With this initial data in hand, we still believe that we will be able to maintain and meet the targets we established last September mainly, we expect to be able to produce in 2016, 750,000 to 1 million gallons of isobutanol. This will involve ramping up production over the next several months to achieve the expected production rates and the actual annualized production run rate would be about 1.5 million gallons per year. And as we get to our targeted run rates, we project the variable cost of production will fall to be between $3 to $3.50 per gallon. Note that we expect to be running isobutanol on a continuous basis from here on out rather than doing campaigns as we have done in past years. What we are trying to achieve at Laverne in 2016 is important for two main reasons. First, it should demonstrate that isobutanol can be produced at an economic cost basis, while there still is only one production line dedicated to isobutanol, it is full-scale commercial system producing isobutanol in approximately 1 million liter fermenters, seeing this whole system work in one place at Luverne should make it easier for potential licensees to understand the full process and that it works. Prior to the installation of our new equipment at Luverne, potential licensees could only see that the fermentations worked, meaning that we believe that our [indiscernible] issues are behind us but we still had to send the isobutanol off-site to a toll producer to do the final purifications of the isobutanol and this cost a lot of money. While we have now brought this distillation equipment on-site at Luverne and it should significantly lower the overall cost of the finished isobutanol. Secondly and just as importantly, the increased isobutanol production that we expect this year will allow us to more consistently supply our key market. Of course this is significant as it should show that demand for our product is strong and we expect that it will show people that money can actually be made on isobutanol. Now before moving to the downstream side of the business, I also want to mention that we had a fire at our plant in Luverne last week. You might have seen an article in the local Luverne paper. A flow problem caused the dryer to overheat in the animal feed area and the feed caught fire. The fire was limited to the dryer in the plant. The local fire department did a great job of putting the fire out quickly. Our team at Luverne did a great job of cleaning up and getting the equipment repaired. There were no injuries, damage was minimal, in fact, the plant is back up and running and all indications are it is running well. It is also important to note that this accident was not a result of new equipment that was recently installed. Unfortunately these dryer fires are somewhat common in ethanol plants. Now turning to markets. As we have discussed previously, we have three main market areas we are targeting in the near-term, isobutanol, specialty fuel blend stock, jet fuel and isooctane. I will describe our activities in each of these markets one at a time. We expect to sell the majority of our production into the specialty gas and blend stock market in 2016 focused on marinas, gas stations that serve boaters and small engine off-road users. Collectively we estimate the market potential of the boating and off-road market segments to be in the hundreds of millions of gallons per year. As we have talked about previously, isobutanol has very attractive fuel blend stock properties. It has high octane value, relatively high energy value, it doesn’t [faze] separate in gasoline, it has low corrosivity to gaskets and engines and it has low vapor pressure. We are targeting markets where these properties are valued. This is not a commodity gain, instead ours is a value-based sale. We have been achieving our targeted selling price of between $3.50 to $4.50 per gallon for our isobutanol. We expect this to continue in 2016 as we ramp up sales. Our product simply solves customers’ problems, that is why they are willing to pay for it. The primary target market is going to be the marine boating and off-road market. Gasoline blended with our isobutanol has begun to be introduced at marinas and gas stations that serve boaters and small engines. In 2016, we expect to have a lot more announcements about customers and partnerships with the anticipation of much greater volumes of isobutanol to sell. The product is being marketed as high-octane ethanol-free fuel and meets RFS requirements. In many of the areas we target, this is a reintroduction of biofuel because ethanol had been previously kicked out and non-ethanol containing gasoline called clear gasoline had replaced E10. The problem with clear gasoline is that the octane value is generally lower than what higher performance engines needed. Adding isobutanol lifts the octane value and of course isobutanol’s other properties add value as well. In other areas, the isobutanol blends are being offered to customers who simply don’t like ethanol in their gasoline yet want a high-performing fuel. It gives more choice to customers and we think broadens the appeal of biofuels. Isobutanol blended gasoline addresses the concerns in some markets caused by ethanol containing gasoline. We have been working to build our base of distribution partners and I want to highlight one of them, Gulf Racing. Their lead guy, his name is Jess Hewitt, has done a great job taking our product to market and showing the value of isobutanol blended gasoline. Gulf has distributed our product to outlets like Lee Oil where they have introduced isobutanol blends with 93 and 100 octane. The target segment is high-performance car engines, classic cars, racing cars and off-road use. Gulf Racing has also introduced these 93 and 100 isooctane blended fuels at Motorsports Ranch in Houston that caters to auto and racing enthusiasts. Gulf Racing was also responsible for getting our isobutanol to our first ever retail pumps last year at Express Care in Fredericksburg, Texas. Express Care is targeting boats on trailers, off-road uses, small engines for landscapers and classic cars. Jess reports that the prices at the pumps for Gevo’s isobutanol blended 93 octane and 100 octane range between $3.89 to $4.99 per gallon. Jess reports that Gulf Marine 100 octane sells for $9 a gallon. This compares to E10 at the pumps selling between $2.15 to $2.45. So this is not a ethanol talk game. It is a different game. It is a value-based sale, it is a performance fuel game. High-octane low vapor pressure water stable fuels that contain bio-fuel are valued it appears. We expect Gulf Racing will continue the development of isobutanol blended gasoline in 2016. We expect that they will continue to leverage their name as we increase the availability of isobutanol and they increase their reach to marinas including the Northeast U.S. and other markets where the benefits of isobutanol shine. We will also be targeting growth in the Lake of the Ozarks area. We already introduced isobutanol blended gasoline at Lake Pomme De Terre in Missouri. In that small region, a lot of gas for boats is used. For example, one distributor tells us that they distribute something on the order of 4 million gallons of gasoline each boating season to the lakes in those areas. There are other attractive regions like this to target as well. And as I have said previously, we expect that we will be able to announce additional customers and distributors as we continue to ramp up isobutanol production and sales. Now as everyone knows, jet fuel is also a significant focus for us. Isobutanol is a good raw material for the chemical production process to make jet fuel. We have been operating our demonstration plant producing jet fuel in cooperation with Southampton Resources in Silsbee, Texas since 2011. As mentioned, we were extremely pleased to announce yesterday that the ASTM subcommittee focused on jet fuel voted to modify the specification for jet fuel to include isobutanol derived alcohol to jet fuel. This will finally enable the commercial use of our jet fuel. ASTM still has to finish their paperwork and finalization processes before they issue the final notification but we cleared the key committees and this took five to six years. We are glad it is done. There are only a few bio-based jet fuels that are included in the ASTM specification. We believe that our ATJ provides one of the lowest costs if not the lowest cost scalable route to commercial bio-based jet fuel. By using carbohydrates in the feedstock, we have the potential to tap into the vast agricultural resources throughout the world. Our technology is carbohydrate agnostic so we can use corn as a feedstock as we do at Luverne. But we also can use other carbohydrates such as cane sugar or molasses or sorghum or even cellulosic feedstocks. We anticipate that this combined with an extremely efficient process makes for a very good CapEx, OpEx proposition. We have seen and expect to continue to see significant interest in renewable jet fuel. The airline industry according to the International Air Transport Association is expected to double in size in the next 15 years and according to a recent New York Times article, jet fuel accounts for about 2% of global greenhouse gas emissions. Jet fuel is a growth market with a need for renewables. For example, the International Civil Aviation Organization that broadly represents the industry stakeholders has set a public target for the industry returning to the 2005 greenhouse gas emission levels for the whole industry. That target can only be achieved with the use of renewable carbon as a fuel source so we see great potential in this market. Leaders such as Alaska Airlines who as announced should be flying with our fuel in the near future, recognize that it is worthwhile to do something now to deal with the issue. As we go forward, we expect that jet fuel and its commercialization will be a key focus for us both in terms of selling product as well as developing new partnerships. We have seen a lot of interest in our product and our technology. We look forward to talking more about the progress we are making in this vertical over the coming quarters. Isooctane is another product that we make via chemistry from isobutanol down in Silsbee. Isooctane is the gold standard of octane. It is the good stuff in gasoline. With renewable isooctane, it could be possible to make an extremely high renewable content gasoline maybe even approaching 100% of the hydrocarbon content. We have been selling our isooctane into Europe for high-performance fuels and as gas for airplanes. Our customers include Total for Formula One racing, BCD Chemie and several other companies that we would hope to announce in the near future. We are also starting to see some strong interest here in North America. Now why is there interest in renewable isooctane? Well, it provides a potential low-cost route to low carbon high-performance gasoline. Our products are cleaner than the petrochemical-based products because ours are made from renewable isobutanol rather than dirty oil. We don’t see the sulfur and things like toxic aromatics in our isooctane that you might see from an oil-based isooctane. It will be interesting to see this unfold. Turning now to licensing, we continue to make progress on licensing. We completed a license for isobutanol production with Porta Hermanos in Argentina. Porta is unique in that they would be both the producer of isobutanol at their own plans and an engineering and equipment supplier for isobutanol production at other plants in Argentina and potentially throughout South America. The first plant is to be wholly-owned by Porta and is expected to begin production of isobutanol in 2017. The plant is expected to have production capacity of up to 5 million gallons of isobutanol per year. Based on our projected isobutanol pricing, we estimate that this one project could generate approximately $1 million in annual revenues once the plant is operational through royalties, sales and marketing fees and other revenue streams such as e-sales. The deal with Porta also contemplates Porta retrofitting at least three additional ethanol plants for certain of their existing customers for isobutanol production. For these projects, Gevo would be the direct licenser of its technology and the marketer for any isobutanol produced and would expect to receive all royalties and sales and marketing fees generated from these projects. Porta would provide the EPC services for these projects. We have not yet determined the production volumes or specifics for these additional projects. It is worth noting that by partnering with Porta, this will dramatically decrease the investment in engineering and business development resources that Gevo would otherwise have had to deploy to roll out our technology in that region. As a result, we expect the revenue streams from this partnership to be very high-margin in nature. This deal with Porta is also proved positive that we can in fact license in light of the Butamax settlement and that there is demand for our technology and that a licensing model can work. We have several other licensing discussions underway and I expect that we’ll have more in the future as we ramp up our isobutanol production levels and decrease the associated variable cost of production at Luverne this year which should show that isobutanol can be produced and that the EBITDA margin levels that we have been projecting are real. And importantly, we also expect to demonstrate that we have strong market demand for isobutanol. So with that, I will hand the call over to Mike to run through our financials.
Mike Willis: Thank you, Pat. As we announced earlier today, we priced an underwritten offering of common shares and warrants this morning. The offering was fully subscribed and is expected to close on April 1. The gross proceeds to Gevo from this offering are expected to be approximately 3.5 million not including any future proceeds from the exercise of warrants. The offering was split between two types of units, Series C units with each unit consisting of one share of common stock, one Series F warrant to purchase one share of common stock and two Series H warrants, each to purchase one share of common stock at a public offering price of $0.35 per unit. And then Series D units which with each unit consisting of pre-funded series G warrants to purchase one share of common stock, one Series F warrant to purchase one share of common stock and two Series H warrants, each to purchase one share of common stock at a public offering price of $0.34 per unit. The Series F warrants will have an exercise price of $0.35 per share, the exercise will be beginning on October 1, 2016, and will expire on April 1, 2021. The Series G warrants will have an exercise price of $0.35 per share which would be prepaid upon the issuance except for a nominal exercise price of $0.01 per share upon exercise. The Series G warrants will be exercisable from the date of original issuance and will expire on April 1, 2017. The Series H warrants will have an exercise price of $0.75 per share. The exercise will be beginning on the date of original issuance and will expire on October 1, 2016. The shares of common stock and warrants will be immediately separable and will be issued separately. Now turning to the summary of Gevo’s results from operations in the fourth quarter of 2015. Gevo reported revenue in the fourth quarter of 2015 of 7.3 million as compared to 9.5 million in the same period in 2014. The decrease in revenue during 2015 is primarily a result of the production and sale of approximately 6.5 million of ethanol, isobutanol and distiller’s grains at the Luverne plant as compared to 8.8 million in the fourth quarter of 2014. This decrease was primarily a result of lower ethanol production as well as lower ethanol prices in the fourth quarter of 2015 versus the same period in 2014. During the fourth quarter of 2015, hydrocarbon revenues were 0.2 million as compared to 0.5 million in the same period in 2014. This decrease was primarily the result of timing of shipments to finish products from Gevo’s hydrocarbon demo plant located in Silsbee, Texas. Gevo also generated grant revenue of 0.5 million during the fourth quarter of 2015, an increase of 0.4 million from the same period in 2014. Gevo’s grant revenue is primarily generated through the work we are doing with the Northwest Advanced Renewables Alliance, or NARA, to produce isobutanol from cellulosic feedstocks such as wood waste which would then be converted into Gevo’s ATJ. Cost of goods sold decreased to 9 million in the fourth quarter of 2015 versus 10.9 million in the same period in 2014 due primarily to a decrease in ethanol production as well as the cessation of isobutanol production while Gevo was installing new capital equipment at Luverne which is expected to decrease the cost of production of isobutanol per our guidance from September of last year. The primary expense decrease is related to raw materials of 0.6 million, other variable cost production of 0.8 million, and repairs and maintenance of 0.3 million. Gross loss was 1.7 million for the fourth quarter of 2015 versus 1.4 million for the fourth quarter of 2014. R&D expense was 1.6 million in the fourth quarter of 2015 compared to 2.7 million reported in the fourth quarter of 2014. Recall that our R&D activities include technology development related activities at our labs here in Englewood, Colorado as well as production related activities at our hydrocarbon demo plant in Silsbee, Texas where we produce our bio jet, isooctane and paraxylene products. R&D expense decreased in the fourth quarter of 2015 compared with the same period in 2014 due primarily to a $0.3 million decrease in employee related and lab consumable expenses and a $0.7 million decrease in costs related to the Southampton facility. SG&A expense for the fourth quarter 2015 decreased to $3.3 million compared to $4.8 million for the comparable quarter in 2014. SG&A expense decreased in the fourth quarter of 2015 compared with the same period in 2014 due primarily to decreases in legal costs of $2 million and consulting and professional fees of $0.6 million offset by an increase in employee-related expenses of $1 million. Within total operating expenses for the fourth quarter of 2015, we reported approximately $0.7 million for non-cash stock-based compensation. For the fourth quarter of 2015, we report a loss from operations of $6.6 million, down $2.3 million from a loss from operations of $8.9 million in the fourth quarter of 2014. In the fourth quarter of 2015, cash EBITDA loss, a non-GAAP measure which is calculated by adding back depreciation and non-cash stock-based compensation to GAAP loss from operations was $4.2 million compared with $6.7 million in the same quarter in 2014. Recall in September we reported that we were targeting an average quarterly cash EBITDA loss of between $3.5 million and $4.5 million per quarter in 2016 and we were within this range in the fourth quarter of 2015. Interest expense for the fourth quarter of 2015 was $2.1 million which was basically flat in comparison to the same quarter last year. During the fourth quarter of 2015, we incurred a non-cash gain of $0.3 million due to the quarterly mark to market valuation of the 2017 notes. There was no change in the value of the embedded derivatives in the 2022 notes as the derivatives had no meaningful value since the third quarter of 2014. One holder of the 2022 notes exchanged 2.5 million of those notes for 1,107,833 shares of Gevo’s common stock during the three months ended December 31, 2015. The holder agreed to waive any accrued but unpaid interest on those exchange notes. No holders of the 2022 notes converted any notes during the quarter. During the three months ended December 31, 2015, the estimated fair value of the derivative warrant liability decreased by $2.9 million primarily associated with the decrease in the price of Gevo’s common stock in the quarter. For the fourth quarter of 2015, we reported a net loss of $8 million or a loss of $0.44 per share based on weighted average shares outstanding of 17,954,451. This compares to a loss of $11.1 million in the fourth quarter of 2014 or a loss of $1.68 per share. At quarter end, we had approximately 21,607,048 shares outstanding. Our cash on hand at December 31, 2015 was $17 million. With that, I will now turn the call back to Pat.
Pat Gruber: Thanks, Mike. We continue to make progress on all fronts in our business. In particular, we are excited about restarting isobutanol production at Luverne. I like the traction we are seeing in the market and I believe the value is real. If we are able to achieve our targets in 2016 and we believe that we will, we should be able to accelerate the adoption of isobutanol in our core markets and get on with building a meaningful licensing business. Lastly, I thank our shareholders for all of their patients and support. We believe that we are entering a new phase of growth for Gevo and we appreciate all those who have stuck with us throughout. And with that, we can turn it over for questions. Operator?
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions]. And Jeff Osborne with Cowen and Company on line for questions. Please go ahead.
Jeff Osborne: Good evening, guys. A couple questions on my end. Pat, most of the discussion in the prepared remarks was on Porta. I was wondering if you could just touch on Praj and how things are proceeding with them?
Pat Gruber: Yes, Praj has been our organism, our yeast and they are training them how to live and operate in India. So what that entails is, well, I should step back, they are using molasses and sugar as a feedstock and they are going to put it into sugar mills. Now molasses is not cornstarch, not like a dry mill whatsoever. The stuff is kind of dregs in a way, the bottom of the barrel stuff with a little bit of sugar and whole lot of other crud. So what they are doing is taking our yeast and adapting it to use those feedstock’s, we already know at a fundamental level it works but they are doing some optimization work around the fermentation itself. We have to test it for things like local water and other nutrients, we don’t anticipate any issues there and they reported good progress. The second thing that they are doing is developing the process to do an isobutanol fermentation in mills that would normally be producing ethanol. Now the difference is that in the U.S. when we do dry mills we have an extremely high solids content, over 30% solids. That is not how these fermentations are done when you use molasses. It is much, much lower concentrations. So, they have to work out for instance in the process where does all of the water go, how do they integrate it, et cetera, so they are busy doing that engineering as well. So they are continuing to make progress.
Jeff Osborne: Got it. That is helpful. I appreciate that. And then another just big picture question before I turn over to Mike is you spoke at the ABLC during the quarter and there is a big focus certainly with United and other airlines as it relates to jet fuel. Can you just touch on from a competitive standpoint how you think your production cost is and ramp will be relative to other pathways whether it is bio-based or non-bio-based for isobutanol based jet fuel? That would be helpful. Certainly the end market drivers are there but just like to understand where you think you are on a cost perspective. You mentioned actually that you feel comfortable about hitting the cost and production targets for the year and you gave us production metrics but can you also maybe in your answer just give us a sense of where cost is initially today, any commentary qualitative or quantitative would be appreciated and also just what the long-term goal is as well?
Pat Gruber: Sure, so first in the lay of the land for renewable resource-based jet fuels, there are a few approaches that can be taken. One of them is to use a vegetable oil or an animal fat oil, a tallow or something like that. That is the process that has been worked on and commercialized. Honeywell UOP has worked on that and done that process. The issue with those raw materials is that they aren’t very -- they are not ubiquitous. Vegetable oil is or maybe in order of magnitude less prevalent than carbohydrates maybe two orders of magnitude less prevalent. So it can’t be done at the same scaling all over the world. Carbohydrates are also a fraction of the cost on a raw material basis. Now the exception might be tallow -- like if you are getting a waste tallow oil or something like that but that is hard to do hundreds of millions of gallons. Now remember, the need for this industry is in the many, many hundreds of millions of gallons, it is not a 5 million or 10 million gallons here or there is a nice starter place but that is not what the game is about. This is about hundreds of millions to billions of gallons over a period of time. So it is a bit different game, carbohydrates I think are the raw material to use. There’s a couple of chemical processes that are out there, Fischer-Tropsch being one of them that people talk about. The capital costs of that are extremely high in the $10 per gallon capital cost. The processes are similar to what is done with like coal reformation type stuff. It can work but it is just really expensive to deploy. Our process provides a nice combination of low OpEx, relatively low CapEx and that when we do our CapEx numbers, we also include the buildout of the isobutanol and then the isobutanol conversion to the jet fuel. It is very competitive. In fact, we find it is in low-cost grouping.
Jeff Osborne: The same would be true on a natural gas approach as well I assume with the Fischer-Tropsch in the same bucket with that or any comments on that
Pat Gruber: Interestingly enough, if it is a low carbon fuel, you can’t get there from here with natural gas unless it is bio-gas and if its bio-gas then again you have the problem of not a big enough supply. There will be supplies that make sense in a region or something or a small place but you can’t do it widely. There is just not enough of it around. Natural gas burns and you get hit with a fossil carbon.
Jeff Osborne: It makes sense and then just Mike, for you two quick ones. How should we -- you gave the share count exiting the quarter with the transaction and the extremely complex layering of warrants. How do we think about what share count should be for Q1 or more I guess on a go forward basis given the pricing of April 1?
Mike Willis: I can’t give specific guidance. I can tell you that those Series E warrants that we issued in December are short-term in nature and so there is obviously a preponderance to be exercising those quicker than any of the other issuances that we have.
Jeff Osborne: Okay. And then the cash at 17 million, you obviously raised 3.5 million here. Given that we’ve got one day to go in the quarter, can you just comment was there any warrants that were converted over that generated cash for you in Q1?
Mike Willis: I can only say that some of the Series E’s were exercised but those are the ones that were pre-funded that were effectively a penny to exercise. So, modest proceeds from the exercise of warrants.
Jeff Osborne: Okay. And then, if I heard you right, you got one, last question, one train today of the four with IBA production and over the course of the year that will transition to all four? Just how do we think about with where ethanol spreads are, how you are going to handle your production ramp given the capital raise?
Pat Gruber: Think of it this way, we have one isobutanol line production line simply dedicated to isobutanol. We will run the rest of the plant normally on ethanol. So the ethanol capacity is approximately 50 million gallons per year and then once we have ramped up the isobutanol, it will be 1.5 million gallons per year and we will stay there for now. We don’t have the, it will cost us some more money to switch the whole plant back over to isobutanol.
Jeff Osborne: Got it. Okay, I misunderstood that. Perfect. Thank you much, guys.
Operator: And the next question comes from Amit Dayal from Rodman & Renshaw. Please go ahead.
Amit Dayal: Thank you. Congratulations on all of the progress so far. Just two questions I guess from my side. The first one is around the supply that is coming online right now, the isobutanol supply. Are we distributing through some of the existing relationships we have had? Are you adding new distributors to that mix and should we assume that most of it is right now going into the marine opportunity?
Pat Gruber: So the answer is yes, we are leveraging the people who already know, people like Gulf Racing. I guess Jess is actually listening to this call. Thanks for all of your work, Jess. And then we are adding additional distributors too. As we organize those, we will be talking more clearly about them and also the end use outlets. And the outlets for the gasoline that contains isobutanol are going to turn up at marinas or at pumps at gas station and convenient stores where they can serve people who want this high-performing ethanol free fuel. That is where we will focus the majority of it. Of course we will still take some down to Silsbee, make jet fuel, isooctane too, but that is a relatively small amount. And there is a lot of interest in this product. As I mentioned in my prepared remarks, the price points are quite good and that is because there is a demand for high-octane ethanol free gasoline that contains renewable content.
Amit Dayal: Are these days are the distributors asking you for potentially commitments to supply certain levels of volumes at this stage or not right now?
Pat Gruber: I have had conversations with them and so what we have found is that as we are organizing all the supply chains still and we are pinning them down into contracts. We will be pinning them down. As we do that work, we will be able to describe it more clearly… [multiple speakers]
Amit Dayal: Got it. And just in relation…
Pat Gruber: Supply and of course our clarity of how much isobutanol we have had when, would have when, has only become clear. Remember we started on this upgrade in the plant and we authorized it in September. So in a few months, we’ve built this thing out and now we can say with clarity what we believe we will have in terms of isobutanol quantities exactly when. That is extremely useful for not disappointing customers.
Amit Dayal: And outside of the small fire incident, no other hiccups in terms of bringing the production online? Do you think the ramp should be fairly smooth from here?
Pat Gruber: It should be straightforward. It is the kind of things that you have to go through when you do a ramp, shake down the equipment, make sure it works. We have run fermentation, worked about as expected. The fire interrupted us for not quite a week, a few days and then we are starting up the isobutanol fermentation again. Started today. And so we have to just get good at running it and a lot of our ramp rate is about getting good at turning, it is a bath like process in that fermenters, you’ve got to turn it around, clean it, shorten the cycle times, et cetera. And then along the way we’ve got to make sure everything else is working the way we expected it to. We haven’t seen anything that would cause a red flag so far and we don’t expect to. We still have to learn how to do it because these plants are really, really big. These are not demonstration plants, not pilot plants. These are big, giant plants with a lot of mass flowing through them. You’ve got to get it right and keep it safe. So you do it carefully and make sure we know what we are doing as we ramp up.
Amit Dayal: Got it. And just one last question on your South American arrangement with Porta, and you may have touched on this I’m sorry if I am asking this again. Has Porta started any construction activity, et cetera right now or is that still a little bit down the line?
Pat Gruber: No, I still believe they are doing the engineering sorting it out and getting it figured out.
Amit Dayal: Okay, got it. Thank you. That is all I have.
Operator: And this ends the Q&A session. Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.